Operator: [Call Starts Abruptly] IR website. Together with the presentation, I'd like to point out that simultaneous translation is available for those who need it. You can access this tool on Zoom by clicking on the Globe Icon Lake Boat Interpretation when selected choose your Preferred Language, Portuguese or English. For those listening in English, there is an option to mute the original Portuguese audio by clicking mute original audio. For the Q&A session we encourage you to send your questions using the Q&A icon at the bottom of your screen. As usual, your names will be announced so that you can ask your questions live. At that point, a prompt will appear on your screen asking you to activate your microphone and camera. If you prefer not to open your microphone and camera live, please write no mic at the end of your question and I will read it aloud. Please note that the information provided in this presentation and any forward-looking statements made during the video conference regarding SLC Agricola’s business prospects, projections and operating and financial targets are based on the company's current beliefs and assumptions, as well as information available at this time. Forward-looking statements are not guarantees of performance. They involve risks, uncertainties and assumptions as they pertain to future events, and therefore depend on circumstances that may or may not occur. Investors should understand that general economic conditions, market conditions and other operational factors may affect SLC Agricola’s future performance leading to results that differ materially from those expressed in such forward-looking statements. Now, I would like to hand over to our CEO Aurelio Pavinato to begin our presentation, Pavinato please proceed.
Aurelio Pavinato : Good morning. Thank you very much for participating in our Second Quarter 2024 Earnings Conference Call. Let's move please to slide four where we'll discuss the evolution of the Brazilian cotton market. To begin, we highlight a historic milestone reached by Brazil in the ’22, ‘23 season, becoming the world's leading cotton exporter surpassing the United States. Brazil produced 3.2 million tons and exported 2.7 million tons by July. Our primary markets are in Asia with exports going to countries such as Vietnam, China, Bangladesh and Indonesia, from where textile products are distributed worldwide. This positions Brazil as a strategic supplier of cotton globally with a sustainable, increasingly modern and efficient production process. Now moving on to Slide 5. Let's say a few words about market scenario and cotton prices. During the quarter, international cotton prices declined due to global production outpacing consumption. However, demand for clothing and textiles remains strong. According to Bloomberg and U.S. Census Bureau data, as of June 2024, U.S. clothing and textile accessory sales reached R$143 billion, a 3% increase compared to the same period in 2023. China, a key current consumer, continues to import volumes exceeding those of the past five years according to Chinese trade balance date data. On the consumption side, Asia's textile industry has remained resilient and steady with production rates holding at consistent levels in recent month according to private market surveys. The USDA estimates global cotton production at 113.6 million bales with consumption projected at 112.4 million bales leading to a surplus of 1.2 million bales for the '23, '24 season. We believe that the spinning industry is operating strategically, carrying raw material and finished product inventories below the historical average, thereby reducing future market liquidity and putting downward pressure on prices. For the '23, '24 season, U.S. cotton production is at its lowest in 14 years, reaching around 12.1 million bales according to the USDA. Looking ahead to the '24, '25 season, the USDA projects global cotton consumption at 116.2 million bales, up by 3.9 million bales from the previous season. Production is expected to reach 117.6 million bales, resulting in a global supply-demand surplus of 1.4 million bales. Now let's move to Slide 6 to discuss soybeans. In the United States, the '23, '24 season ended with a production of 113 million tons, which is about 9.4 million tons less than the USDA's initial estimates. In Brazil, the impact of the El Nino prompted CONAB to revise its production estimate downward by 8% from an initial estimate of 160 million tons to the current 147.3 million tons. Brazilian soybeans continue to be highly competitive, leading to record exports of 75.4 million tons by July 2024 with 55.5 million tons shipped to China, highlighting the sustained and robust demand from the Asian nation. Argentina's soybean harvest is estimated at 50.5 million tons, 500,000 tons less than previously forecast according to the Buenos Aires Grain Exchange. Despite success of downward production revisions in major producing countries, the '23, '24 season is expected to produce a surplus of approximately 12.1 million tons over consumption. For the ’24, ‘25 season in the United States weather conditions have been favorable with current expectations of 125 million tons, a 10% increase over the previous year’s production. Moving to Slide 7, please. Prices for Brazilian soybeans at the Parnaguá base have remained steady between giving support, between 130 BRL to 140 BRL per sec from May to August, 2024. This stability persisted despite a drop in the CBOT amounting to almost 15.3%. The decline was largely offset, but by a rise in premiums at Parnaguá, which increased by over $1.2 per bushel and a 10% depreciation in the Brazilian BRL with the exchange rate moving from BRL 5.10 to BRL 5.50, we're helping to maintain soybean prices in Brazil. Now let's talk about corn. For the ’23, ‘24 season, global production is expected to surpass consumption by about 18 million tons. The 2023, ‘24 season in the United States has ended. In Brazil Cona forecasts total corn production at 115.6 million tons. In Argentina, the Buenos Aires Grain Exchange estimates that corn production has been cut by around 18% from initial forecasts due to pests. The original estimate of 56.5 million tons has been revised down to 46.5 million tons. The revision in Argentina's corn production affects the global export balance given that Argentina ranks among the top corn suppliers worldwide, alongside Brazil, United States and Ukraine. In the United States, the ’24, ‘25 corn planting area totaled 90.7 million acres down 4% from the previous season. For currently the global supply and demand balance for the ’24, ‘25 season is projected to show a production surplus of around 7.3 million tons over consumption, a significant drop from the previous season. Now let's move to slide 10 to discuss our operational performance in the ’23, ‘24 season. The ’23, ‘24 season was characterized by the El Nino, which primarily impacted West and Mato Grosso, a region that experienced a significant reduction in rainfall during October, November and December. This affected soybean yield potential. The harvest has been completed reaching 2017% down, in relation to budget and still above 17%. Cotton is 57.6% harvested, and our forecast is to reach 1,977 kilos per hectare of lint, 1.1% above projections and 5.7% above the national average. Second crop corn has been harvested almost completely, and our current estimate is 7,046 kilos per hectare, 7% below the initial project and 26.5% above the national average. The growing period was marked by irregular rainfall distribution and heat waves, which affected crop development, particularly in the state of Maranhao. On Slide 11, we present the cost and hedging position of the company. Per hectare cost for the '23, '24 season were 10% lower than the '22, '23 season even with investments in fertilizers back to normal. Regarding hedging, we've advanced our '23, '24 position. In soybean, if we add all commitments, 92% of production has been hedged, and in corn, 69%, and in cotton, 59% has been hedged. I'll now hand it over to my colleague, Ivo Brum, to comment on our financial performance. Ivo, please proceed.
Ivo Brum: Thank you very much, Pavinato. Good morning. Please advance to Slide 13 to discuss our financial results. Net revenue for the first quarter ended at nearly R$1.4 billion, reflecting a decrease due to lower prices and reduced soybean sales volume during the period. Conversely, there was a 73% increase in current revenue. Net income was also affected by soybean results. We reached R$321 million and R$550 million for the half year. Adjusted EBITDA for the semester was R$962 million with a margin of 29.1%. Cash flow for the quarter was negative R$543 million mainly due to reduced soybean production payments for crop inputs and also the machinery and other implements payments. Now let's move to Slide 14, where we show the company's debt position. Adjusted net debt ended the quarter at R$4.2 billion with a net debt over adjusted EBITDA ratio of 1.99 times. We have almost 100% of the costs for the '23, '24 season paid off, and all the cotton and corn from the season are yet to be built. Next on Slide 15, we summarize the issuance of CRA. On July, we executed the fourth CRA issuance, agribusiness receivable certificate. We've raised just over R$1 billion through three series with maturities of up to seven years. The main goal of this operation was to extend the company's debt profile. On next the next slide, we present the land valuation. In June, we conducted evaluation of the company's land carried out by Deloitte. The land was valued at R$11.5 billion, reflecting a 6% increase in the adjusted portfolio. The current average value per hectare is R$57,500. I'll now turn it over to Pavinato who will present information on the outlook for the '24, '25 crop.
Aurelio Pavinato: Please let's move to Slide 18, where we present the outlook for the '24, '25 crop season, and we begin with an update on input purchases. For the '24, '25 season, that will start in September, 2024. We have continued to purchase inputs. We have acquired 92% of phosphates, 100% of the potash, 97% of the nitrogen and 85% of the pesticides taking advantage of market opportunities. Let's proceed now to slide 19 where we show the current hedging position for the ’24, ‘25 crop. We have continued to sell and hedge soybeans reaching 61.3% of hedging of the estimated production. We have hedged 9.4% of the cotton production, but we have not yet progressed with corn hedging. Additionally, we have locked in currency rates for our crops during periods of favorable dollar rates. Now let's move to slide 20. As announced on April 29, we have expanded our joint venture with Agro Penido Fazenda Pioneira by adding 18,700 hectares with a planting potential of 30,734 hectares, including second crops. On slide 25, we provide a summary of the new joint venture. The company has entered into a partnership agreement with Agropecuária Rica part of the RZK group to create a joint venture named Fazenda Precisosa Empreendimentos Agrícolas. This venture aims to jointly develop agricultural production in the state of Mato Grosso with SLC Agricola holding a 55% stake and Agropecuária Rica holding 45%. The joint venture will manage 11,282 hectares with a total potential of 21,000 hectares, considering second crop planting. This new joint venture will begin operations in the ’24, ‘25 season and is located in Querência Mato Grosso. We will produce soybean second crop corn and plan to produce cotton in the future as the farm is mature and the soil highly fertile. Now we'll move to slide 22, where we will discuss the recent relevant fact regarding a new area lease. The new lease covers a total of 14,572 hectares that are cultivable located in the stage of Piauí. Due to its proximity, this area will integrate Fazenda Parnaguá. The new area will be starting in ’24, ‘25 season and will produce first crop soybeans and cotton. The area is mature, the soil is fertile and the lease contract is for 15 years. To conclude this session, we can move to slide 24. Combining the three operations, we are increasing our planted area potential by approximately 60,000 hectares for the ’24, ‘25 season. Thank you very much. And now we will open the floor for questions and answers.
Operator: Thank you, Pavinato. [Operator Instructions]. Our first question is from Gabriel Barra, Citibank.
Aurelio Pavinato: Good morning, Gabriel. Would you please activate your microphone and camera?
Gabriel Barra: Good morning to all. Thank you very much for answering my questions. I think that, both Pavinato and Ivo, have commented on the outlook, and I would like to talk about capital allocation and production. I think that in terms of costs, the package has already been defined. You gave us an update on input purchases. And I would like to understand what we can expect in relation to the evolution of costs per hectare for the next season. Also, breaking down this in the production and the mix, should we expect a mix of crops similar, to last year, to last season with the current balance of cotton, or should we expect an increase in the planted area of cotton? And what is the impact of that considering costs? Also, Pavinato has talked about the JVs that we have been expecting, eagerly for over two years, and I think that this capital allocation happened at just the right time. Firstly, I would like to ask if there is any space left for this crop or if the window for '24, '25 has ended. And, should we expect this to continue in '25, '26 with an expansion of your land?
Aurelio Pavinato: Thank you very much, Barra, for the question. Cost, '24, '25, yesterday, we had a board meeting in which we discussed our budget. But, since we made new leases recently, we had, of course, to redo our planning and also consider our machinery requirements. And, of course, first of all, we have to analyze the soil of the slant to see whether we can plant corn, cotton on the first crop. So, we have to wait for at least 30 days, so that we conclude the soil analysis and the agriculture planning to define the mix. And, as a result, also to define the cost per hectare. So, I'll have to ask you to please hold, on that, and we'll give you an answer in September. In relation to our expansion, we are now in August, one month before planting. So, the lease window is now closing for the current season. We have to start thinking, however, of the next crop season. And in this market of, lower prices, there are more lease opportunities emerging. Obviously, we are delivering growth this year within the targets, last year we weren't unable to grow, and this year we are now, we are delivering the 60,000-70,000 hectares. So now we feel comfortable that we are delivering on our promises and following a strategy of closing deals at the right time with the right pricing. And all of this will give support to our growth.
Gabriel Barra: Well, going back to the first question, if possible, if you can help me in terms of cost, could we think of a declining trend in cost per hectare in the comparison with the previous year? So, should we continue to believe that the cost per hectare will continue to decline?
Aurelio Pavinato: Yes, of course, because, the margins are being adjusted throughout the chain and consequently input prices and even service prices are dropping. As I said, it's very difficult to give you a number we have, because we have to conduct evaluations of the new areas. And we're talking about 11,000 hectares in Mato Grosso and 14,000 hectares in Piauí and 30 days ago those were lands that were in a radar, but we were not really going to market for the purchase. So, I have absolutely no question in my mind that the cost will go down, but I cannot give you a percentage at this point.
Gabriel Barra: Okay. Thank you very much. Very clear.
Operator: Thank you, Gabrielle. Next question, coming from Matheus Enfeldt UBS. Good morning, Matheus, could you please activate your microphone?
Matheus Enfeldt: Good morning, Pavinato and Ivo. Thank you very much for taking my question. I would like to speak about soybean margins. I just want to confirm this is what happened. Perhaps, there was a concentration of sales and farms that had suffered more with yields. So, is that what's putting pressure on margins or was there a factor, a specific factor that put pressure on soybean margins? Another question on growth. And in hindsight, what can you say about the negotiations to expand land in ’24, ‘25? Where did you see more opportunities in terms of the negotiations they're considering the size of the company? Is the company now struggling to find other farms that they want to add to their land portfolio? So, what -- what can we think about the possible potential difficulties for next year?
Ivo Brum: Thank you, Matheus. In fact, this quarter, soybeans suffered with the carryover from corn. From, since corn is now being harvested, we have to release our warehouses, and this was the area that suffered the most with climate. So, productivity in Mato Grosso was lower. And what I recommend is that you look at the year to date figures, gross profit is around R$400 per ton. And in the quarter, just 52. But this 52 is, of course, the consequence of Mato Grosso with lower production. So that's why I suggest that you look at the accumulated figures for the half year. Matheus, on addition of new land and negotiations, each deal is a different deal, and it really depends on the scenario. When we think of the of the evolution of Agri -- agribusiness in the last year and the outlook for next year. This year, we saw margins being squeezed. Some producers were in tight spots. And the question that remains is, what to expect for next year? Is it going to be more favorable or more unfavorable? And everything indicates that with soybeans being traded at low prices as now today, the premium now offsets the drop-in soybean prices. We'll see some hardship in this crop. As a result, lease opportunities will continue to appear. It's really on a case-by-case basis. Negotiation sometimes takes a whole year to be signed and others, just three months. Obviously, the industry as a whole, will see rearrangements now in this commodity downward cycle. Obviously, we have to analyze and take the deals that are convenient for us.
Matheus Enfeldt: Thank you very much.
Operator: Thank you, Matheus. A question from Bruno Tomase [ph] to Itau. Good morning, Bruno. Please activate your microphone, please.
Unidentified Analyst: Hello. Good morning. Thank you very much for the presentation and for the Q&A. I would like to I would like to go back to the dynamic, sorry, there are new discussions because of climate and government, also, export duties in Argentina. What are the risks that you envisage for the market in Argentina?
Aurelio Pavinato: Argentina is now back into the market with the new government. We can summarize it like this. Argentina is very competitive internationally. There is a land expansion potential in Argentina as well, and they cannot give up on the. Otherwise, the governmental accounts will be in trouble. But I think that, Argentina this year, even in spite of El Nino, which is a near for a full harvest in Argentina, that was not the case. In fact, the corn harvest was very bad. They have a problem with the Cicadella pest in Argentina and they're losing a lot. So, they are planting less corn than this year because they don't, don't know how to manage corn pests as well. So, in soybean, soybean, yes, they have planted even more. And this is also putting pressure on soybean prices because there will be more soybean available in international markets. But Argentina obviously, has limited space. But at the same time, this is a strong player that's very competitive in the soybean and corn markets in the along the last years, Argentina, well, the climate has not been on their side. There was a reduction in rainfall this year with El Nino. They had a reasonable level of protection. But next year we're going to get a weak La Nina. So maybe the effect will be not as, as much, but this probably will be a critical factor that will also add volatility to the market. We always have an estimate, for the harvest. And if we don't get to the full, projected figure, then supply will be less. So definitely Argentina is back to the game and the government will try to keep this, will try to keep this strategy of reducing retentions. That's for sure.
Unidentified Analyst: Very clear. Thank you so much.
Operator: Thank you, Bruno. Our next question is from Julia Rizzo, Morgan Stanley, please open your microphone, I mean, activate your microphone.
Julia Rizzo: Good morning. I have two questions, in fact, firstly I would like to follow up. Well, we're about to start, the new soybean season. And from the area that is known, the SLC before the new leases and expressions. What have you prepared in terms of cost per hectare and what can we expect in the normalized numbers? And also considering the new leases that are great for growth, can you, what can you tell us about the lease market for these areas? How will it work in case of the JV and the other deal? How can you compare this to what you already have? Tell us about the negotiations, just for us to get a feeling, a feel of the market, please.
Aurelio Pavinato: Julia, about the cost. The cost per hectare. We are now finalizing our budgets considering the land expansion and our production cost in U.S. dollars will go down. We don't know what the adjustment in BRL would be, because we'll see a decrease in production cost in dollars with the depreciated exchange rate. This is favorable to us even though sometimes the decrease of cost in BRL is mitigated by the FX. But when we consider our business, we sell in dollars, so the fact that the exchange rate is depreciated is positive to us. Leases, we have announced the lease of the Piauí, farm and how much we'll pay in bags per hectare. Each market, each region practices different prices, and it depends also on the crops. If it's a farm where you can plant corn and soybean, that's one price, or another one that where you can plant cotton and corn is another price. The different regions have fair prices, that you can accept in leases. In the case of Piauí, we announced that we're paying 10 bags per hectare in the lease. And after the third year, when we'll have cotton, and the first year probably will have only soybean being planted. So those are prices that are payable and that can generate positive return. But what about the JV? I don't know what to expect in relation to the it follows the same logic. The owner, gets the lease, and it's the JV that pays for the lease. And in the case the JV, we're partners in this business. So, we have a stake also, and we receive dividends. This is the difference between the JV and a lease. We are partners in the business. Obviously, with a JV, you don't -- you won't make JVs with just anybody, only strategic partners with growth potential. That's why we don't have that many JV. And so, what was the cost of the lease? Yes, we didn't disclose that one. This is not public knowledge in the market, unfortunately. But market prices, yes, it's an area with potential for cotton in the Araguaia region. That's where it's located. And this is a long-term agreement as well, and there are different phases and with different prices.
Julia Rizzo: Thank you very much. Got it.
Operator: Okay. Thank you, Julia. Our next question is from Mateo Silva.
Unidentified Analyst: How do you interpret the relation between the company's market cap and your land valuation?
Ivo Brum: Mateus, we are a little bit frustrated to tell you the truth, because since our assets -- our land only is worth R$11.5 billion and our market cap is around R$8.5 billion. There's a lag there, but if we operate it only with our own land and at a discount, I would understand that. But since we are using 65% of leased land, so there is cash generation, that in our view is not being taken into consideration. But of course, we want to clarify this point and show our numbers so that we, the share price is more adequate to our, in our understanding and views. We are certain that in the future we'll be able to, make this distinction. Because for us, the share price is just too low. There's a too much of a lag.
Operator: Okay, next we have a question from [indiscernible].
Unidentified Analyst: Pavinato and Ivo, can you give us more information about the RZK JV? Well, we answered that already. Now we'll focus on the second part. How is SLC dealing with extreme climate events? Will you have to change the mix of crops this season?
Aurelio Pavinato: Thank you very much, Renaldo. Well, extreme climate events are going to become more frequent in our view. They may affect our business, but they affect not only Brazilian Ag production, but the whole world. So, when both the world and Brazil are affected, the result is price increases. This is the positive effect of negative extreme climate events because our production may also be affected. So, we have to be able to manage volatility, higher volatility than in the past. Our system has been very well decided in Mato Grosso we plant, in Mato Grosso soybean, corn, and first crop corn and in the Bahia cotton and then [indiscernible]. So, considering this model, we try to maximize agricultural efficiency and economic efficiency. There is not much room for major changes. And from our crops, we know that cotton is the most resilient to droughts and soybean is in between. And corn suffers the most with drought, especially during the flowering stage. So, if you look at our history and background, we sometimes make slight changes, but not too much. We always, break down, or decide the mix by farm. We think, okay, where we're going to get the best contribution margin on that farm. This is how we make the decision on crops, and this is how we calculate our projections today with corn prices being traded so low, corn today has the lowest margin, so it's planted as a second crop because there are no other alternatives to corn as second crop. And because the cotton window has ended. So, the best alternative we have is corn, but it's not such a profitable crop anymore. And soybean as the first crop is the best option. Even in Mato Grosso, we have, soybean first and then cotton. It's the most efficient mix, and we're trying to maximize second crop called cotton, as much as possible in all farms, especially in regions where we have just one crop such as Bahia. It's either one, soybean or cotton. But we have used crop rotation half and half. And it's very efficient when you plant soybean after cotton. So, when we consider the mix of the two crops, it's always the most efficient one. So, we don't anticipate major changes in the mix. In Maranhao, it's very similar to Mato Grosso do Sul. Soybean and corn and then and cotton, first crop in two farms. And, in one or two farms, we are able to plant second crop cotton. This is how we decide, the different crops to be planted. Maybe we can talk more about the market. So, let's see if there are more questions, in a little bit.
Unidentified Analyst: Thank you very much. I think we have an additional question, don't we?
Unidentified Company Representative: Yes. With this answer to Fernando Francisco, I think that we also covered Sydney Nascimento [ph] question that was very similar.
Aurelio Pavinato: Okay. Continuing, let's answer Jose's question on investor the price of soybean is below production cost in United States. How do you interpret the USDA announcements recently and the prospects for supply and demand? What's the current phase of the cycle we are in? Well, the international outlook of soybean and corn. The Northern Hemisphere in the United States, they plant in April. That's when they plant soybean April and May, beginning of May. So now soybean in September, they'll start the harvest. So, the agricultural year, what they call the '24, '25 season, they plant in '24. And when they harvest in '24, they're having a very good season of soybean and corn, and cotton, not so well. The USDA announced decline in the projections, and the climate has not been good in the past two weeks. It hasn't been raining. So, in August, we see the confirmation of the projections of drought in the United States in the cotton areas. That's why the USDA has revised down cotton estimates, because climate is not favorable. In the United States for the past two years, there was no rain, and there's no expectations for rainfall. Now soybean. They planted more soybean this year than in the previous one. Why? Because the margins were higher in corn. There had been a significant decrease in corn. Corn has higher cost because it uses nitrogen and other inputs. So, American farmers decided to plant soybean, and this is also another reason why we have pressure on soybean prices. This is the scenario in the United States. In corn, well, Europe, produces corn, the Ukraine as well, and the climate in the northern hemisphere. Today, they have the crops on the field and the climate is not favorable. We see a reduction from 66 to over, to less than 60 million tons in Europe. And when you look at Argentina, as I said before there was less production. They announced probably that the -- were. So, when we look at the consolidated figures in the world, the supply and demand are aligned. There is a prediction of 7 million in, and with the adjustments in Argentina, probably in corn, the balance of supply and demand will be flat. So, there's not much of a surplus in corn but not in soybean. But you ask about consumption, corn consumption is on the rise, but production did not grow this year. So that's why it's flat. In the case of soybean consumption is growing in the season that ended the new season shows an increase in consumption of 400 million tons, but protection will be at 426 million tons. So, we'll have inventories of soybean being built. So, the hot topic today is in relation to soybean inventories, wheat production and wheat consumption is flat as well. That's the forecast for the next season. So, from the four major crops in the world, three of them, the largest one, corn, wheat and rice. Well, we see that, consumption and production are flat. We see a surplus, an expressive surplus of 12 million this year. And we see this, 12 million is also expected of surplus. So, it depends on the production in the north and atmosphere, the production has been set. And in South America, we depend on climate during the next cycle. So, soybean consumption and corn consumption in the world continue to grow consistently. This is the positive factor in the world scenario in the global scenario. And production that owing to large planting of soybean in Argentina, Brazil and the United States, we have surplus soybeans and that's why inventory levels are high. And we see a decrease in prices. This is scenario, this is the scenario we see with lower prices, margins for American farmers are breaking even or negative, depending on how you analyze the costs and expenses. Margins can go negative. So, it's a scenario of tight margins in the international markets, and this will put pressure towards the reduction of planted area. In the United States, they have what they call the CRPs, which are preserved areas. So, when prices are low and margins are bad, they don't plant, then they get revenue from the government to, so that they don't plant. So, everything indicates that if prices continue to be low, we'll have an adjustment of planted area globally to make this adjustment in supply and to rebalance margins and supply in the international markets.
Operator: A question from Matias by Olivera.
Unidentified Analyst: First of all, congratulations on the results. Are you thinking of a new share buyback program considering your land evaluation?
Aurelio Pavinato: Thank you, Matias, for the question. As I said before, we're feeling frustrated, with the share price. We have some ongoing share buyback programs. This is the moment of the year in which our leverage reaches the highest points, and we were going through a silent period, because we had several negotiations underway as well. But the idea is to keep up with our share buyback, because share price is below our expectations, as we have said before. Thank you.
Unidentified Analyst: And we have an additional question from Joan, buy-side analyst. What do you expect in yields for the land under your management? And what is the what are the implications for the paid leases?
Aurelio Pavinato: Thank you, Joan, for this question. Productivity or yield. Yield will continue to increase a long time. Globally, we see 1.5% increase in yields in all crops globally. In Brazil, we grew 2%, 2.5% in yields, in recent years. And we'll continue growing our yields, because of all the improvements in our crop management. Now we have digital crop management, which makes our yields, better with spot application of inputs. So, this is what will enable us to continue making progress and improving our yields. Now leases. Leases are not a consequence of yield. It's a consequence of cash generator -- cash generation. So, depending on how, margins evolve and costs evolve, in recent years, we saw leases increasing, because we had a very profitable operation with a lot of cash flow. So now we'll see some downward adjustments in leases, because margins have contracted. And along the next few years, we expect yields to continue improving. We have to keep an eye on cost. The most important thing is not yields, but rather the crop, the choice of crops, is it corn and cotton? Is it soybean and cotton? How much value does this crop combination add, and how much can be paid in leases? The market self-regulates, following this logic. But in the next two years, in this cycle, we'll see adjustments in leases, depending on the crops and regions. We expect lease cost to remain flat or to have a downward adjustment.
Operator: Okay. We are now closing the earnings conference call on the second quarter 2024 of SLC Agrícola. The investor relations department is at your service to answer any questions and clarify any questions. Thank you very much and have a great day everyone.